Operator: Good morning, ladies and gentlemen, and welcome to the Forum Energy Technologies Third Quarter 2025 Earnings Conference Call. My name is Daniel, and I will be your coordinator for today's call. [Operator Instructions] This conference call is being recorded for replay purposes and will be available on the company's website. I will now turn the conference over to Rob Kukla, Director of Investor Relations. Please proceed, sir.
Rob Kukla: Thank you, Daniel. Good morning, everyone, and welcome to FET's Third Quarter 2025 Earnings Conference Call. With me today are Neal Lux, our President and Chief Executive Officer; and Lyle Williams, our Chief Financial Officer. Yesterday, we issued our earnings release, and it is available on our website. We are relying on federal safe harbor protections for forward-looking statements. Listeners are cautioned that our remarks today will contain information other than historical information. These remarks should be considered in the context of all factors that affect our business, including those disclosed in FET's Form 10-K and other SEC filings. Finally, management's statements may include non-GAAP financial measures. For a reconciliation of these measures, please refer to our earnings release and website. During today's call, all statements related to EBITDA refer to adjusted EBITDA. And unless otherwise noted, all comparisons are third quarter 2025 to second quarter 2025. I will now turn the call over to Neal.
Neal Lux: Thank you, Rob, and good morning, everyone. Our team executed another solid quarter, demonstrating why FET is a great company and even better investment. We extended our track record of outperformance, delivered significant capital returns, and we believe FET remains an incredible value while poised for long-term growth. Over the past 3 years, we have outpaced the Russell 2000, our small-cap Index, in revenue and free cash flow growth. And with our third quarter results, we continued this trend. Our Beat the Market strategy, which centers on new product development and targeted commercial efforts, drove strong bookings and meaningful backlog growth. During the quarter, we captured several offshore and international awards. This success increased our backlog by 21%, its highest level since 2015. Our commercial teams are generating market share gains. They successfully pushed third quarter revenue to the top end of our guidance. In addition, our operating teams are driving increased efficiency, higher utilization and structural cost reductions. This combination allowed us to exceed the top end of our EBITDA guidance. FET's free cash flow performance is another area of strength. Year-to-date, we are up 21% and have achieved our ninth consecutive quarter of positive free cash flow. Over that period, our operations have generated almost $200 million in cash. Looking ahead to the fourth quarter, we anticipate another good quarter of free cash flow. Therefore, we are once again raising our full year guidance to between $70 million and $80 million. This free cash flow performance allows us to execute our capital returns framework through further net debt reductions and share repurchases. Last quarter, we discussed reducing net leverage to 1.3x by year-end. I am pleased to report we are now at that level, 1 quarter ahead of schedule. Also, in the third quarter, we repurchased 5% of our shares outstanding, bringing the total for this year to 8% through September. We have seen a strong run in FET's stock performance. However, even after this remarkable gain, our free cash flow yield is around 20%, and share buybacks remain a compelling use of capital. In addition, we believe that FET's share outlook remains incredibly attractive, given our long-term forecast. The key driver there is our Beat the Market strategy. By competing in targeted markets, utilizing our competitive advantages, developing differentiated technologies and leveraging our global footprint, we continue to grow profitable market share. For the first 9 months of 2025, our annualized revenue per rig is up 3% despite subdued market activity. And since the strategy's implementation in 2022, we have increased this metric by 20%. Last quarter, we outlined a refinement to the strategy by aggregating our addressable markets into 2 broad categories: leadership markets and growth markets. For our new investors, let me quickly summarize our discussion from last quarter's call. Our leadership markets are where FET solutions are fully adopted by the industry, where we have meaningful share, strong competitive positions and broad geographic reach. We estimate the size of our leadership markets to be $1.5 billion, with FET maintaining a 36% share. A few examples from our portfolio include Global Tubing, Quality Wireline, Variperm and Perry ROVs. FET derives about 2/3 of its revenue from the leadership markets, and we will continue to invest in product development to maintain and expand our position. The growth markets are about twice the size of our leadership markets, or roughly $3 billion. Here, our products and solutions are differentiated, proven and have fewer competitors. However, they may be in the early stages of industry adoption. They may have a narrower customer base, or they may be more geographically limited. As a result, our aggregate market share here is relatively low, around 8%. This creates an exciting opportunity to increase revenue rapidly through wider industry adoption, new customer acquisition and expanded global utilization. Let me provide a couple of examples and share some insights. One example is coiled line pipe, a product that saves operators' time and money. The market opportunity is immense and has very few direct competitors. However, broad customer adoption has been limited by our industry's conservative approach to new technology. Recently, our team's relentless commercial efforts have added a number of key accounts. Demand is expanding in the U.S., the Middle East and offshore. Sequentially, coiled line pipe revenue grew 28%. We expect this product to be a meaningful contributor to our long-term growth. The second example I want to highlight is from our artificial lift product family, where demand is generally more stable because it is tied to existing production. Our technically differentiated products extend the life of downhole pumps, allowing more production at significantly lower cost. Execution of this value proposition has made us the market leader in the United States. The exciting part for FET is that the international market is more than 4x larger than our home market. We are making headway there as our revenue has grown 12% since last year. By leveraging our global footprint to address these markets efficiently, we have a significant opportunity to grow revenue. These are 2 of many products that compete in the growth markets. Our goal over time is to double our share from 8% to 16%, which would increase FET's revenue by $250 million in a flat market. However, our base case is not a flat market. We see the possibility of our addressable markets expanding by 50% or more over the next 5 years. Here's how we get there. The 2 main drivers of energy demand are economic activity and demographics. By 2030, world GDP is forecasted to increase by nearly $30 trillion and the global population is expected to increase by 400 million. With this growth, it is reasonable to forecast an oil demand increase of at least 5 million barrels per day in that period. In addition, our industry will need to replace 30 million barrels of daily supply that will be lost to natural production declines. Finally, on top of that, demand for natural gas is forecasted to grow rapidly to power AI data centers and supply LNG exports. With this outlook, today's supply will not come close to meeting this level of demand. We believe that means significant investment is required. To meet these challenges, our customers need to be significantly more efficient, while adding a modest amount of new capacity. Under this scenario, FET's addressable markets would expand by more than 50%. This expansion, combined with our targeted market share gains, would organically double revenue in 5 years. And with our strong operating leverage and capital-light business model, our free cash flow would grow significantly. By 2030, this would give us meaningful firepower to execute strategic investments, including accretive acquisitions and additional shareholder returns. We call this Plan FET 2030, and its execution is our North Star. Now, while we are excited about our long-term vision, we also remain focused on executing today. So to provide an update on our quarterly results and outlook, I am now going to turn the call over to Lyle.
David Williams: Thank you, Neal. Good morning, everyone. FET delivered revenue of $196 million, approaching the top end of our guidance range as offshore and international revenue grew in the quarter. Revenue increases for our drilling and subsea product line drove offshore revenue to 22% of our total. And as Middle East and Canadian revenue each increased by over 10%, international revenue surpassed U.S. sales. U.S. rig count declined by 5% in the quarter, and revenue from most of our product lines averaged a 5% decrease as well. One product line, however, was more impacted as their customers took a conservative position and pushed deliveries into the fourth quarter. Overall, this led U.S. revenue to decline 10%. As Neal highlighted, we had another great quarter of bookings. Our book-to-bill was 122%, showing the benefits of FET's diverse product offering. Both segments achieved greater than 100% book-to-bills at 129% and 112%, respectively. Booking strength for the Drilling and Completions segment was again led by subsea. The strong quoting activity we highlighted last quarter led to new orders for ROVs and pushed the book-to-bill ratio over 200%. In addition, drilling bookings increased by 45% as the team secured capital equipment orders for new-build land drilling rigs in the Middle East. Also, orders grew 24% in our stimulation and intervention product line with strong demand for many of our products. In the Artificial Lift and Downhole segment, a large Canadian customer ordered sand control products in support of an extended drilling program. Valves had its largest bookings in almost 2 years, and our process technologies product family achieved its second highest bookings quarter over the same time frame. Our large backlog and higher revenue, combined with healthy incremental margins, helped us exceed our EBITDA expectations. Consolidated EBITDA was $23 million, up 13% and above the top end of our guidance. Margins improved by 150 basis points to nearly 12% due to favorable product mix, ongoing cost reductions and tariff mitigation efforts. Now, let me provide a bit more color on our segment results. Drilling and Completions segment revenue was flat for the quarter. Momentum continued for coiled line pipe as sales increased 28% with market share gains and revenue recognition on a Middle East project. The subsea product line was up 5% with revenue recognized for ROV projects. And strong sales of wireline products and heat transfer units drove an increase in our stimulation and intervention product line. Offsetting these increases were lower sales for consumable items tied to softer market activity. Despite flat segment revenue, EBITDA was up 3%, driven by product mix and benefits from cost savings initiatives. Our Artificial Lift and Downhole segment revenue decreased 4%. Lower downhole casing hardware and processing equipment technology revenue was partially offset by increased sales volumes for valve and sand control products. Similar to the Drilling and Completions segment, EBITDA increased 2% despite lower revenue. Favorable product mix and cost savings drove the increase with margins improving 130 basis points. In the third quarter, increased tariffs on steel imports and targeted tariffs on imports from India surprised the markets. Our teams evaluated pricing adjustments to counteract these policies. In addition to our strategy of passing along tariffs through pricing, we continue to leverage our global footprint to avoid tariffs altogether. For example, early in the fourth quarter, we leveraged our Saudi Arabia manufacturing facility to assemble and ship heat transfer units to a Latin American customer. This successful supply chain adjustment protects the competitiveness of these products in the global market. While our teams effectively mitigated negative tariff impacts this quarter, tariff rate volatility continues to be a challenge for our operations. To further counter tariff costs and in support of our solid operating results, we accelerated progress toward our $10 million structural cost reduction goal. As of the end of the third quarter, we are close to achieving that original goal. Additionally, in the third quarter, we made the strategic decision to consolidate 4 of our manufacturing plants into 2. Combining facilities allows us to reduce overhead costs, improve direct labor and asset utilization, and enhance the efficiency of our operations. To achieve these consolidation benefits, we are discontinuing a few low-volume, low-margin products. Our results include $21 million of noncash inventory and other asset impairments and $1 million of cash charges for severance and relocation costs. By the second quarter of 2026, we expect these facility consolidations to contribute over $5 million of additional annualized cost savings, taking our total structural savings to approximately $15 million, 50% more than our original goal. These efforts have supported our EBITDA this year and will provide additional tailwind going into 2026. Shifting to cash flow and shareholder returns. I am pleased to report that our $28 million of free cash flow, a 23% increase, enabled meaningful shareholder returns. Consolidated free cash flow benefited from increased EBITDA, reductions in net working capital and the sale-leaseback transaction. Our success in these areas enables us to confidently raise our full year 2025 guidance to between $70 million and $80 million. Also, with this continued free cash flow strength, we accelerated our share buyback program. In the third quarter, we repurchased 635,000 shares for $15 million, bringing the full year total to 966,000 shares, or 8% of the shares outstanding. Our expected fourth quarter free cash flow supports continued execution of our capital returns framework, and we have already begun additional buybacks. While executing our third quarter repurchases, we reduced net debt by $12 million, or nearly 10%, to $114 million, resulting in a net leverage ratio of 1.3x. Our liquidity position remains solid. We ended the quarter with $32 million of cash on hand and $86 million of availability under our revolving credit facility with total liquidity of $118 million. Before turning to our financial guidance, let me provide a little more detail on our income tax expense and corporate items for modeling purposes. In the quarter, we increased the valuation allowance reserves we hold for the U.K. and recorded $5 million of additional income tax expense. Net of this charge, income tax in the quarter was roughly $5 million, slightly below the second quarter. As our sourcing strategies shift income across jurisdictions, we expect our effective tax rate to shift as well. For example, for the fourth quarter, we expect income tax expense of $2 million to $3 million. For the fourth quarter, we estimate corporate costs and depreciation and amortization expense of around $8 million each and interest expense of $5 million. Now, turning to the market and our financial guidance for the remainder of the year. We are forecasting a gradual decline in activity through the fourth quarter. However, at current commodity prices, our elevated backlog, continued market share gains and further cost savings should help keep our results relatively steady with the third quarter. Therefore, for the fourth quarter, we forecast revenue of $180 million to $200 million and EBITDA of $19 million to $23 million; and for the full year, revenue of $770 million to $790 million and EBITDA of $83 million to $87 million. Let me turn the call back to Neal for closing remarks. Neal?
Neal Lux: Thank you, Lyle. To conclude, I want to first reiterate how proud I am of the team's execution. They delivered strong safety results, bookings, revenue, EBITDA and free cash flow. Their efforts and performance are also positioning FET to finish the year with momentum. Looking ahead to 2026, we've begun initial discussions with our customers about their plans for the year. It is too early to call a bottom in activity. However, with our strong backlog, planned market share gains and structural cost-saving efforts, we are well positioned for 2026. More importantly, we must continue to focus on the long-term vision. With our Beat the Market strategy, we are striving to double revenue. The next 5 years have the potential to be truly special for FET and its investors. That is FET 2030. Thank you for joining us today. Daniel, please take the first question.
Operator: [Operator Instructions] Our first question comes from Joshua Jayne with Daniel Energy Partners. Our next question comes from Daniel Pickering with Pickering Energy Partners.
Daniel Pickering: Can you hear me?
Neal Lux: Yes. Thanks, Dan.
Daniel Pickering: Great. Just checking to make sure the system is working here. A couple of questions. I mean, bookings is obviously quite strong. Neal or Lyle, can you talk a little bit about -- I'm just wondering, have you changed your incentive system for your sales guys? Are you tackling things in a different way? I mean, bookings have obviously accelerated, and the world looks a little bit worse. And so you're doing something right. I'm just wondering if there's a redesign of the way you're attacking things or if it's just all the efforts finally resulted in a bunch of orders.
Neal Lux: Yes. We -- Dan, we've looked at our markets, our sales process. This has been an ongoing -- something we've been working on for many years. And I think we're starting to really see the fruits of that. It goes back to our Beat the Market strategy, looking at the markets we're playing in and really having the right products and then having the teams go after it. So I do want to say the subsea bookings, which have been really strong, that is part of a -- a structural part of the cycle that we're a part of. And so, that's been good. But our teams really are aligned with that Beat the Market strategy and are focused on generating sales.
Daniel Pickering: Okay. And as we look at that backlog, you're showing strong margins because of the reasons you talked about, Lyle. But how do we think about margins in the backlog, better than what we print in 2025, the same? Are you seeing any improvement in margins on the new orders?
David Williams: Great question, Dan, there. I think one of the biggest factors that we need to look ahead to is going to be mix in our bookings. So, as Neal mentioned, subsea has been a big driver of those backlogs. And traditionally for us, contribution margin from subsea is a little bit lower than our average on the basis of the volume of pass-through items that we have in that business. So technology is good, but there's more pass-through there. So, that would put a little bit of downward pressure of mix with subsea being a higher piece of our revenue next year. That being said, we -- the team has done a great job this year with these cost savings initiatives that we've seen a lot of that cost this year, but there's more to come that will benefit us going into 2026.
Daniel Pickering: Okay. Second question would be the discussion around the facility consolidation. Kind of a big picture question. You're obviously talking about targeting substantial revenue growth. If we're going to fewer facilities, I mean, how do you think about the revenue-generating potential of your manufacturing base? So if we're going to run $800 million in revenues this year, what can your manufacturing capacity do? Is it $1 billion? Is it $1.2 billion? Is it $900 million? How much utilization are we really looking at now versus the future?
Neal Lux: Yes. So I think we still have a substantial roofline and footprint, Dan, that we can add people and material to grow revenue. I think over the last few years, we've talked about having the capacity to increase our revenue 50%. That still remains in place today. So with the -- even with the consolidation, we still have plenty of space to expand and pull product through. So I'm not worried about that growth with these consolidations. I think it's going to make us much more efficient in the near term. And I think there's benefits on the cost side, but also benefits for the customer, right? We're going to have better deliveries, be on time and just having that right structure in place. So we're looking forward to it. I think it's the right decision to make, and the timing here allowed us to do it and position for 2026.
Daniel Pickering: Final question. Lyle, given the constraints that you have on share repurchase and leverage levels, et cetera, what's our capacity to repurchase shares over the next couple of quarters, given where the balance sheet is today?
David Williams: Great question there, Dan. And maybe just to remind everyone of the context there, our share purchase capability is really limited by 2 factors, one of them being our net leverage of 1.5x, and we're below that level now. So we're in good shape. The other being the amount of free cash flow we generated in the last fiscal year. So that's really our cap. That puts about $36 million worth of total buyback capacity. And if we look at what we've repurchased through the end of the third quarter, it's about $21 million worth of repurchases. That would leave us another $15 million or so of capacity that we could use here in the third quarter -- I'm sorry, in the fourth quarter. And as mentioned on the call, we've done some of that already here in the month of October. So we've got quite a bit of dry powder left in the ability to buy back shares.
Daniel Pickering: And Lyle, what does -- how does that look in '26 then? Does that reset? Or is it $15 million until we get to the end of '26?
David Williams: Great. Thanks, Dan. It does reset every year. So the 2026 number will be roughly, call it, half of our 2025 free cash flow number. As we just said, we've raised that volume again. So we'll have a lot of dry power going into 2026.
Daniel Pickering: So call it kind of $40 million-ish or something like that?
David Williams: Yes.
Operator: Our next question comes from Joshua Jayne with Daniel Energy Partners.
Joshua Jayne: Okay. I don't know what happened. Sorry about that. So first question for me, just given the diversified nature of your business, could you speak to where you think we are in the cycle in each geography? And I'll sort of break them down into U.S. land, international and offshore. And based on where you think we are in each of those geographies, sort of how does that [indiscernible] about the spending moving forward in the next 12 to 24 months, allocating resources and capital? Maybe just as the first question.
Neal Lux: Yes. I think we're always looking for -- at our markets individually, rather. I hate to categorize it by geography necessarily. So going back to our Beat the Market strategy, we have our leadership markets and our growth markets. I think there's opportunities in each regardless of the geography. I think we mentioned a few examples on the call where we do see ability to grow quickly is to take successful products that we've had in the United States and export those around the world. The example we mentioned was artificial lift. We've also seen that in our stimulation and intervention product line, where we've shipped our products to shale development in Argentina, in the Middle East. Again, we're well positioned in each region. So I think we closed with some comments that I think it's still too early to call a bottom. We're talking with our customers. But looking ahead to next year, we feel pretty good with the backlog we have, with the plans we have in place to have some -- to have a good year and really set ourselves up for the longer term. Again, the 5-year vision for us is to double our revenue organically.
Joshua Jayne: And when -- I think you mentioned coiled line pipe on the call. So that was a product, for example, I think, grew 28% quarter-over-quarter. When I hear about growth like that, is that a business that you think heading into 2026 could roughly double as an example?
Neal Lux: I think, over time, for sure. In 2026, I think that would be a pretty good -- a pretty big leap. It goes back to awards and timing. But our goal for our growth products, the growth markets that we have, yes, in 5 years, we do want it to double. If we can do it sooner, great. And I think coiled line pipe has had some great wins. The team has done well. But I hate to tell them they got to double within 1 year. But I think they have the opportunity to have some nice growth for sure.
Joshua Jayne: And then, last question, maybe just to [ give you ] the floor on. As you're constantly introducing new products to the market, I mean, is there anything else just when we think about on the new product side heading into '26 that you're especially excited about that ultimately help E&Ps become more efficient? What are the things that you're thinking about introducing in '26 that could really drive some of this growth you're seeing sort of even if the market doesn't improve much going forward? Maybe talk about some of those products.
Neal Lux: Yes. We have a really good pipeline now of new product development we're pushing through. Exciting area for us is, again, in the artificial lift to take the success we've had with protecting downhole ESP pumps and expand that to other artificial lift applications like rod lift. So we've got good progress there. Another one is our -- for subsea is our Unity operating system for ROVs. We've introduced that in 2025. We're expanding delivery. Again, with a lot of the new bookings we've had with ROVs and subsea, we have the Unity system on there. So that's exciting. And then, on the power side, we provide a key heat transfer unit for many of the mobile power units that are being deployed, both in the U.S. and hopefully internationally here shortly.
Operator: Our next question comes from Jeff Robertson with Water Tower Research.
Jeffrey Robertson: Neal, if we think about the growth markets, you talked about coiled line pipe and some of the downhole pump products that FET supplies. Does a period of lower oil prices increase adoption of some of those technologies by customers? Or is it more just industry trends as people -- as companies or countries around the world move toward more unconventional resource development?
Neal Lux: Yes. I think the -- in a tighter market with, let's call it, more challenging oil price, products like that, where we can save operators' time and money, you get a very solid look. So I think that's open door. And then, by having that door open, it's allowed us to really show off really the technical capability. I think a good expectation, again, with lower oil prices is, service companies are going to have to be more efficient as well and do more with less and increase the service intensity. And again, that's where we see our consumable products -- while rigs may not be going up a lot, they're going to be working harder and longer, same with frac crews. And I think we're going to see more consumable usage that way.
Jeffrey Robertson: Do you have -- can you just remind me what the capacity at your Dayton pipe facility is? And when you talk about growing share in coiled tubing and coiled line pipe, how much you can accommodate before you would have to consider any kind of capital investment?
Neal Lux: We've never really had that capacity outlined. But I can tell you from having been there since the building was constructed, we could put a lot more pipe through that facility. Again, it's going to extra shifts, utilizing mills -- both mills more efficiently. So I see the bottleneck for growth there is our commercial teams and getting the bookings. So once we get the bookings, I think we have a good runway to push more revenue through that facility.
Jeffrey Robertson: And then, as you think about the 2030 goals, does the growth in -- or does the goal to double revenue in growth markets, does that just -- is that just traditional oil and gas? Or do you see opportunities for any of your product lines or the flexibility to make any acquisitions that could expose FET to any kind of adjacent markets?
Neal Lux: Yes. I think oil and gas will be a big part of that. The other adjacent market would be defense. We talked about our rescue submarine booking. We see a good, let's call it, opportunity pipeline there to add on. We're also selling our remote-operated vehicles to defense contractors and really to the navies around the world. So I think that's another opportunity. So I think oil and gas, organic, as well as defense. And our teams are always looking for new markets that we can expand our addressable ones. So part of our goal, right, is to double our revenue in the markets we participate. If we can identify new ones that are adjacent, where we have a differentiated offering, where customers value the products and solutions that we deliver, that would be another way to expand our addressable markets, and we are constantly looking for that.
Operator: [Operator Instructions] Our next question comes from Steve Ferazani with Sidoti.
Steve Ferazani: Appreciate all the detail on the call. You introduced sort of how you're thinking about 2026. I think it's fair to ask, given the sort of consensus developing around the potential for sub-$50 WTI in the first part of the year, how well you're positioned for that and how you can offset what that could do on pressure at least on U.S. consumables?
Neal Lux: Yes. Again, in the call, we said it was probably a little too early to talk about 2026. If we do get a low oil price, one of the things that we're looking at is, does production in the U.S. roll over? And as we -- as I'm sure you've read and you kind of look around the industry, it appears that most operators are trying to hold production at least flat year-over-year. And so, I think that would be a higher level of production than maybe we're modeling going into that. But overall, I think it's -- we're going to stay close to our customers. We think even in a sub -- prices go below where they are today, those get into the 50s, there's going to have to be more efficiency. And so, we're going to put ourselves as we're going to be the enabler of that efficiency. And so, we're well positioned for that, and that's part of our strategy.
Steve Ferazani: Okay. And when we think about this multiyear high on backlog, timing of conversion, I know a lot of this is percentage of completion. How much of that backlog is multiyear? And how much of that do you think you work through over the next 5 quarters?
David Williams: Yes, Steve, that's a really good question. And typically, when we think about our backlog over time, that backlog is going to typically run out in 2 or 3 quarters. I think now, with a bigger backlog build that we have in subsea, that's where we're going to see that run all the way into 2027. So the rescue submarine we announced last quarter, for example, we will recognize a decent amount of revenue on that in 2026, but we won't deliver that until late 2027. So we'll have revenue running all the way through there. But the bulk of our backlog probably bleeds out in 2026 with some subsea lasting all the way into '27.
Steve Ferazani: Perfect. That's helpful. The uptick on both valves and sand control products, the sequential improvement, I know there's 2 different dynamics going in there. Can you walk through what you're seeing on the valve side? I know there was some destocking going on related to tariffs. Are we seeing that easing now? Are we getting through the destocking? And then, on the sand control products, what you're seeing in Canada?
David Williams: Steve, the valves, I think you hit the nail on the head. We talked for the last 2 quarters about what we call the buyers' strike as buyers, with the uncertainty in what tariffs were going to do, basically pulled the pin on ordering patterns. So we have seen some needed increases there for our distribution customers who needed to restock some shelves. My comments about tariff rate volatility continue to be there. And despite the recent news about maybe lowering tariffs on Chinese imports, where that would most affect valves, we definitely see that volatility continue. So we're keeping our eyes close on the valves business, but it was nice to see the increase there.
Neal Lux: Yes. And Steve, I think in Canada, I believe it was maybe our first or second quarter call, we thought the back half would be stronger based on some of the customer discussions we've had. So I think that's really been part of the activity or the growth in Canada as we've had that. And our team has been really successful on maintaining and getting key bookings up there as well.
Steve Ferazani: And if I could get one more in because I heard you mention maybe once or even twice the potential in the -- serving the rod lift market. Have you served that market before? Would that be a new addressable market?
Neal Lux: That's a really new market. We've had, let's call it, some sales into that market, Steve. So it's not completely from scratch. So we're already into it. But we're doubling down our efforts and expanding with our products. We've talked about in the earlier calls, we have a really neat piece of -- really neat product called Pump Saver Plus. It helps really in a very similar way that we have for ESPs. It prevents rod pumps from getting destroyed through -- breaking down, excuse me, through sand and gas management. So we think the product has a lot of legs. We've refined it, and we're working really closely with both operators and rod lift pump companies to really get that product out in the market.
Operator: I'm showing no further questions at this time. I would now like to turn it back to Neal Lux for closing remarks.
Neal Lux: Thank you, Daniel, and thank you for your support and participation on today's call. We look forward to our next call in February to discuss FET's fourth quarter and full year 2025 results.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.